Operator: Welcome to the H & M Conference Call 3-month report for 2023. For the first part of this call, all participants will be in a listen-only mode during the speaker presentation. And afterwards, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. Today, I am pleased to present Nils Vinge, Head of Investor Relations. And I will now hand you over to our speakers. So please begin when you are ready.
Nils Vinge: Hi, everyone, and thank you all for joining us today, and welcome to this telephone conference in connection with H&M Group's First Quarter Results 2023. With me today is our CEO, Helena Helmersson; and our CFO, Adam Karlsson. We will start with a short summary of the first quarter. After that, we will be happy to answer your questions. And you will find the report at hmgroup.com Investor Relations. Now I'll hand over to you, Helena.
Helena Helmersson: Thank you, Nils. Although the challenging situation in the outside world remains, our financial year has started in the right direction. Net sales in Swedish krones increased by 12% in the first quarter. In local currencies, the increase was 3%. Excluding Russia, Belarus and Ukraine, the increase was 16% in Swedish krones and 7% in local currencies. Sales in physical stores increased despite 7% less number of stores. The external factors that affect purchasing costs continue to improve. Our work on the cost and efficiency program is ongoing at full speed. While many of the changes we have been working on in recent years are starting to have an effect. At the same time, spring collections have been well received by customers where spring has arrived. With our long-term approach, we are continuously developing all parts of the company with a focus on meeting customers' ever increasing expectations of affordable and sustainable fashion. It's more important than ever to continue offering customers the best value for money. We made progress in all of our three growth areas. The H&M brand, Portfolio Brands and New Growth and ventures. To start with the H&M brand, we are continuing to strengthen and develop the offering with additional services and products, including categories like sports, beauty and home. Customers are getting access to an even broader and more relevant range that is further adapted to regions, stores and online. This is most clearly visible in H&M women's wear, which attracts more and more customers. We are looking forward to our next designer collaboration with the house of Mugler that will be available in selected stores and online on May 11th. We will see outstanding fashion pieces at great prices for women and men, along with accessories. Our initiatives and investments within tech, AI and supply chain have led to an improved precision and faster response times. As a result, we see continued improvements of the inventory situation supporting our cash flow and in line also with our sustainability ambition. We are also continuing with our efforts to enhance the customer experience with increased inspiration and seamless shopping in our physical stores and digital channels. Our second area portfolio of brands, COS, Monki, Weekday and Other Stories and ARKET, continues to grow. Sales for Portfolio Brands in the first quarter increased by 19% in Swedish krones and by 11% in local currencies. Each of these brands adds new customers to the group and has a great potential for continued growth. COS have carried out an extensive upgrade of the range and also strengthened its positioning in the premium segment. ARKET continues to grow rapidly and has tripled sales since 2019. The third area, New Growth and Ventures includes new business models, partnerships and investments in start-ups. 10 years ago, we started investing in Sellpy. They have in a short time become one of Europe's largest platforms for second-hand. This is a good example of how we work on developing new circular business models and how investments in sustainability provide H&M Group with long-term business opportunities. We are now consolidating Sellpy into H&M Group, which visualizes the value and generates a positive revaluation effect of approximately SEK1 billion in the quarter. We have over 25 more promising companies in the portfolio such as, for example, Renewcell, TreeToTextile and Smartex. We are today publishing our annual and sustainability report for 2022. Among other things, it shows that we have made progress towards reaching our long-term climate goals. In a recent report by Environmental and Climate organization Stand.earth, H&M was the highest-ranked brand out of 43 global fashion brands for our climate actions. To conclude, we are naturally humbled by the continued challenges in the world around us. But at the same time, we feel confident that we have the ability to adapt to new conditions that will strengthen our competitive advantages further. We have a well-positioned customer offering and are fully focused on meeting customers' ever-increasing expectations of good value and sustainable fashion. The H&M Group stands strong with a robust financial position, healthy cash flow and well balanced inventory. Our increased investment level in all three growth areas provide good prerequisites for gradually improved growth and higher profitability. The start of the year confirms that we are taking further steps towards our goal of a double-digit operating margin already next year. Thank you very much for listening, and we are now happy to take your questions.
Operator: Thank you. [Operator Instructions] And our first question today goes to Fredrik Ivarsson from ABG Sundal Collier. Fredrik, your line is open. Please go ahead.
Fredrik Ivarsson: Thank you very much. Good morning, all. First question on the gross margin, if you just can confirm that the external headwinds get somewhat softer in Q2? And maybe also if you could give some guidance on Q2 markdowns, given that the spring season has been a bit delayed given the cold weather in the couple of markets?
Adam Karlsson: Hey, good morning. I mean, overall, we are pleased with the direction we see in the gross margin more long term. We don't sort of give guidance for quarter-by-quarter development. But as we spoke about in the year-end report, we are confident and this quarter gives even more reassurance that we will see a recovery during this year and towards end of this year. And I think one can also be reminded that the gross margin last year was also affected by an effect of all the situation in Russia, where we had a positive effect of unrealized exchange gains. On the markdown question, it's a very small markdown quarter. So it doesn't have a sort of material effect, so we don't give a guidance right now for the quarter. We're early into it.
Fredrik Ivarsson: Okay. Fair. Thanks. And second question on the margin trading, plus 4%. Given the cold weather, would you expect this figure to pick up if the weather improves? Or are they comparable sort of tougher during the end of the year or anything else that we should consider when assessing the end of Q2, please?
Helena Helmersson: Well, we've only seen a month. And as you see, we estimate that this month is up with 4%. So difficult to know. And of course, we don't give that kind of prognosis for the quarter. But it's very clear to us that sales is stronger where spring has arrived. So for example, regions such as southern parts of Europe. So spring collections are well received.
Fredrik Ivarsson: Okay. Great. Thanks. And last quick question on the inventory, impressively down 16%. But if you're - I guess, you're still around 18% of sales, which is a bit higher than your target, where do you expect to sit in terms of inventory to sales in the end of the year?
Adam Karlsson: I think once again, directionally, we are very pleased. It is a quarter where we're coming down from very, very elevated levels in Q3 last year. Q4 came down relative to last year, and now we continue that journey. So we are in a positive trajectory, very, very difficult to estimate exactly where we will land. But we always keep an eye on the long-term target, 12% to 14%. So that's still in play. Timing-wise of reaching it is more difficult to assess.
Fredrik Ivarsson: Yes. Excellent, thanks. That's all my questions.
Operator: The next question comes from Daniel Schmidt from Danske Bank. Daniel, your line is open. Please go ahead.
Daniel Schmidt: Yes. Good morning, Helena, Adam. A couple of questions from me then. You mentioned in connection with the Q4 report that you refrained from hiking prices back then in order to gain share and sort of be true to your customer and the perception of what you stand for in terms of price and quality and so on. But you also alluded to being sort of maybe a bit less generous than you were back then heading into this year and especially as we get into a situation where external factors turn positive and not giving that sort of benefit away. Do you still stand by that? Or how do you view sort of pricing heading into Q2 and possibly the summer?
Helena Helmersson: Yes, more or less what we said last quarter because we are continuously then working with the pricing to make sure that we always have the best value for our customers. So the customer offer is really important and keeping the trust with customers. But of course, we also have the profitability goal for already next year in sight, and we are really committed to go in there. So it's continuously a balancing act where we follow both competitors' prices per market. We work product-by-product in a more flexible manner, I would say, than we've done before, all to be able to adapt so that customers feel confident that we are the place to go to find the best value, but also taking those important steps towards a double-digit profitability.
Daniel Schmidt: Okay. And you also mentioned women's wear, which you started to talk about a bit more, I think, in connection with the Q3 report and you highlighted it in Q4. And it seems like you continue to make strides attracting more and more customers. Could you say anything about sort of what you feel in terms of momentum in that part of the business now compared to maybe last part - or last part of last year?
Helena Helmersson: Yes. If we look at the focuses we've had actually for a rather long time. And then I mean focus is in customer offer, customer experience, but also the supply chain, that is giving positive results. For example, making sure that we also have quicker response times, meaning that we can much faster give customers the latest fashion, also through digitizing parts of the supply chain and kind of improved precision and also be more locally relevant in the different markets. And this is giving good results when looking at, for example, ladies. Then, of course, it's a lot of work going on with both the brands and the customer offers overall if we look at COS and ARKET, for example. But we do see that the focuses we've had is paying off.
Daniel Schmidt: Okay. And do you feel that, that's sort of picking up speed? Or is that sort of a more long-term trend that you're seeing?
Helena Helmersson: Well, that is the...
Daniel Schmidt: Your change or...
Helena Helmersson: Step we've being...
Daniel Schmidt: That sort of paying off more quickly or...
Helena Helmersson: No, I would rather say that what we have spoken about for a rather long time is paying off. So it's definitely a journey step-by-step we see improvements.
Daniel Schmidt: All right. And then just coming back to the inventory question and markdowns maybe Adam answer that. But I was just wondering, given that you've come down quite a lot from very high levels, though, in terms of inventory to sales and you had a flat impact from markdowns in Q1, and you said it's a bit too early to say what's going to happen in Q2 if I got you right? Isn't this at least sort of building confidence in your mind that you could turn sort of markdowns from becoming a headwind to become a tailwind? Or is it sort of counteracted by even more promotional activity in the market compared to a couple of months ago? Or how should we view that?
Adam Karlsson: You're right. I think - I mean, second quarter is a very predominantly a full price quarter. So that's why, of course, we would need, as Helena says, to stay very close to how competitors is acting and how customers expect sort of prices develop. But I think it, of course, gives reassurance more long term that it will support margins going forward. We are committed to the stock targets. But as I mentioned before, then they are more long term, and we see this as one stepping stone in the right direction. So no sort of short-term absolute numbers to be expected for Q2 guidance regarding markdowns. But of course, positive reassurance about the long-term trend.
Daniel Schmidt: Okay. Thank you. That's all from me.
Operator: The next question comes from Richard Chamberlain from RBC. Richard, please go ahead. Your line is open.
Richard Chamberlain: Thank you. I wondered if you could comment, please, on the sort of volume-related cost OpEx benefits you've had coming through in Q1 and March? And then I guess also on the cost side, are you seeing the impact of freight costs, sea freight cost reductions coming through earlier than you expected? Thank you.
Adam Karlsson: Thank you. I mean they are very connected - your questions here. Obviously, with the lower inventory levels, we have less pieces to handle all through the supply chain. And that is, of course, an operational OpEx benefit of having higher stock productivity. So we see those effects starting to materialize. But also that has an impact on the logistics cost with more value per piece. Of course, we can ship less pieces and that, in essence, then gives a relative lower logistic costs. But on the sort of cost per unit, we haven't seen that go down so much. But we, as anyone else can see the spot prices are going down. So we are still committed to the comments we made after the full year that we see a positive trend more mid-term on the freight costs.
Operator: The next question comes from Warwick Okines [ph] from Exane BNP Paribas. Warwick, your line is open. Please go ahead.
Unidentified Analyst: Hi. Good morning, everyone. Two questions, please. Firstly, could you give us an update on the U.S. market, please? How do you see inventory levels in the market more broadly? And then secondly, could you give us an update on the rollout of your self-service checkouts, perhaps you could tell us how many stores that you have these in now? Thank you.
Helena Helmersson: Thank you. Looking at - well, Americas overall, and you saw that in the report that they have made a rather strong quarter. Looking into the U.S. market, we still believe a lot in it. We have invested when it comes to building more and more customer relationships, customer activation and as we have discussed before, also within logistics. And looking at the economy as a whole, the effect seems to be a little bit less overall than in Europe. But looking also into sales right now, we do see same tendencies as the rest of the world that where spring has arrived, we also see that the spring collections are very well received. So it seems to be quite a lot around the weather as it is right now. But overall, we believe a lot in the market, we have focused on those things with logistics, but also branding and building the important customer relationships. So we have a positive outlook.
Unidentified Analyst: Thank you...
Adam Karlsson: On the self-service checkout, we are continuously rolling it out. We have increased the number of self-service checkout stores with around 30% in this quarter, but from fairly low levels. But we see very high acceptance rates from the markets, and we have prioritized them primarily than Northern and Central Europe, where it's becoming a very appreciated way of ensuring a friction-free sort of transaction with us. So we can spend time on other things, more customer engagement in the stores. So a positive plan to roll out, and we've taken steps throughout the quarter.
Unidentified Analyst: Thanks, Adam. So that 30% is a year-on-year increase in the number of checkouts. You can't give us a rough idea of what proportion of stores you have these in?
Adam Karlsson: I mean it's only around 10% now, but with another 30% is in this quarter. So we are rapidly rolling it out. So we're going to see this going up fairly quickly over the coming years. So we'll focus on some markets where we see a very, very high and positive effect on how the customers would like to interact with us.
Unidentified Analyst: Understood. Thank you.
Operator: The next question comes from Adam Cochrane from Deutsche Bank. Adam, your line is open. Please go ahead.
Adam Cochrane: Hi. Good morning, guys. First question on the OpEx. The 3% increase in constant currency. Is there anything one-off or unusual in this number to be aware of? Or is it a good basis to forecast for sort of coming quarters? And obviously, that's before the impact of your cost saving programs. And by timing, I mean, have you got pay rises coming through at certain dates that we might need to think about for your store staff, et cetera, that are still coming? And then secondly, on the flat markdown in the period, you so previously were expecting some markdowns to come through. The market overall seems to have been quite promotional. Can you sort of explain how you managed to navigate the quarter without increasing the promotions? Thanks.
Adam Karlsson: I think there were a number of questions here. If we start with the OpEx and the sort of salary potential inflation going forward. I think this, once again, we spoke about the stock, we spoke about the gross margin is a step in the right direction. We've had cost increases primarily due to energies and all other things going up more than sales over the last years. Now we're starting to see a better balance between that. And that is then even before we get the material effect from the cost saving program. So we are happy about sort of the long-term direction. We're obviously following the salary discussions in many of the big markets. And we are waiting for sort of see how that will end up. We have Sweden coming up. We have Poland and Germany, it's an important market that's in the midst of that discussion right now. So it will obviously be increases. But I think, once again, the step we're taking in this quarter shows that we can handle good sales and good operations in a cost-efficient way, and we believe that future as well. Then there was a question about - sorry, I missed the markdowns...
Nils Vinge: Markdowns?
Adam Karlsson: And the question was...
Nils Vinge: How we could keep it...
Adam Karlsson: Yes, in Q1 in Q1. Yes. No, I think it's all about what Helena spoke about the relevance of the assortment. And we are still on, obviously, levels where we can see improvements going forward. But we are pleased with the - how we set up the stores, how primarily ladies has been able to drive strong sales with high customer appreciation. And that helped us to reduce the risk of markdowns and actually keep them on a flat level for the quarter.
Adam Cochrane: So is what I'm getting at, did you sort of internally have a decision to balance the markdown compared to clearing through the excess inventory? And how did you come to the choice that will sort of keep a higher inventory level but a lower markdown? So how do you sort of balance that?
Adam Karlsson: We balance it sort of more long term. It's about ensuring that we plan well and that we have the responsiveness of the supply chain. And then it's all about ensuring that we have the strongest customer offer. And I think this quarter shows that if we do it well, as we've done right now, we don't have to balance the stock development effect versus the markdown effect that we can manage both if we do it well. And we see that we have done that in a good way throughout the quarter.
Helena Helmersson: And to add to that, we have spoken a lot about tech and AI focus within supply chain and of course, most importantly, the focus on the customers and the customer offer. But also, of course, this is a result of the focuses that we've had for a long time that we can be more precise that makes us sell more full price, keeps inventory in line with the goals that we have set or at least take steps towards that. So the focus on the customers and the customer offer together with the investments that we've done in supply chain and tech.
Adam Cochrane: One rather last cheeky one. In terms of the weather impact, you're talking about the difference in March between where spring has come and where it hasn't. If you had to sort of look around the world, how many - how much is spring sprung versus spring not appeared across the world, I suppose, we get a very U.K. or maybe Swedish centers view of the world. What's it like on a more global basis? Is it half of the world seeing weather impacts? Or what sort of proportion would you get?
Helena Helmersson: Yes. Personally, I don't think I have ever to follow weather as closely as now in all our sales markets. And it's very clear whether you look into, for example, North America or Europe that in many of our big markets, it's much colder than normally. So again, looking into the countries, if we look at, for example, the southern parts of Europe where spring has arrived, we definitely see a good tendency when it comes to how the spring collections are received. So there is a clear weather effect, which is also normal. We always see that February and March are quite volatile depending on the weather.
Adam Cochrane: That's great. Thank you.
Operator: [Operator Instructions] The next question comes from Simon Irwin from Credit Suisse. Simon, please go ahead. Your line is open. Simon, your line is open. Please ask your question. Moving on, the next question is from Georgina Johanan from JPMorgan. Georgina, please go ahead. Your line is open.
Georgina Johanan: Hi, good morning. Thank you for taking my question. I've got two, please. The first one was just with regards to the cost saving program of the SEK2 billion. And as you've kind of started those initiatives and progressed through that, do you still think that the sort of ultimate saving is that SEK2 billion number? Or actually, could it potentially be larger than that now as you sort of started down that path? That was my first one. And then my second one was just on the portfolio brands, I think it's been some time since you've given us any indication of how the profitability of those is tracking or tracking at least versus the H&M brand. So just any update on that as to whether the gap has narrowed or widened and how that's tracking would be really helpful given the strong top line performance of those brands? Thank you very much.
Adam Karlsson: Thank you. With regards to the cost saving program, we are in the midst of it, but we still sort of see the levels and the time line that we spoke about as the target and the target that we're tracking against. So the numbers are there and the time line is also sort of to be reconfirmed. So no changes right now.
Helena Helmersson: And regarding portfolio of brands, as we stated, we see clear progress on sales and also here that the focus is on customer offer and customer experience is paying off. We don't report profitability per brand. And as you know, when looking at this portfolio of brands, some of them are more young while others we've had for a longer time. So I would rather say that the trajectory looks - we're really going into the right direction on that, and we see a lot of improvements. I would say, especially on COS that we are also highlighting in the report, but also ARKET that is a rather young brand has improved a lot.
Georgina Johanan: Thank you very much.
Operator: The next question comes from Paolo Franco from Sino Investor. Paolo, your line is open. Please go ahead.
Paolo Franco: Hi. Good morning, everyone. Thank you for taking my question. I have a question about Sellpy. I was wondering if you could tell us a bit more about maybe its market share and its growth trajectory. You just said you don't report profitability by single businesses. So maybe you could tell us a bit more about growth and market share? Thank you.
Adam Karlsson: Well, I mean, Sellpy is a fast-growing platform. And I think if you look at the growth rate, it has been well above 50% over the last year and it continues. So we see that the customers are really appreciating both the service but also the experience overall. So we are very happy with what the team has done and impressed by how well the customers are receiving the service and the offer they get through Sellpy. There was another - I felt there was two parts to the question. Sorry, the second part?
Paolo Franco: Yes, it was about maybe market share?
Adam Karlsson: Here, it's low. It's starting to become well known here in Sweden. And here, we have a large market share. But more exciting is how it's going to grow also now stepping into new markets, and particularly Germany is a very exciting market, where it's obviously a very small market share, but has huge potential as in the same way as we've seen here in Sweden.
Paolo Franco: Okay, great. Thank you.
Operator: Next question comes from Anne Critchlow from Societe Generale. Anne, your line is open. Please go ahead.
Anne Critchlow: Good morning. Thanks for taking my questions. I've got three please, if that's all right. The first is quite quick. If you could give us an idea of the FX impact on sales in March, just to sort of understand what the run rate is, having seen such a big figure in the first quarter and it being quite difficult for us to calculate these days? And then the second one on H&M membership. If you could just update us on the scheme, so the number of members and the benefits by market, do those vary? So for example, free delivery returns, 10% off? Or is it very particular by country? And then finally, just on Sellpy on the profitability. I wondered why H&M - sorry, I wondered why Sellpy was profitable when a lot of the competitors aren't in terms of reselling platforms and whether Sellpy is benefiting from some H&M functions and support, maybe logistics? Or is it completely separate in the way it's run? Thank you very much.
Adam Karlsson: Okay. When it comes to the first question regarding FX, it is complicated. So it's not just you believe it is complicated. That's why we give you the update on sales before the reports always because with all our exposure to so many markets and the krona being volatile, its difficult. So we don't have a number, but we - with the krona still being weak, we expect a positive currency translation effect also in the second quarter as it looks right now.
Helena Helmersson: The member program is progressing really well. Now we have close to 200 million members. So of course, then one of the largest loyalty programs in our industry. Features overall to engage with members looks - are adapted also to the different markets. But overall, this is, of course, a really important program for us to build relationships with customers, and we are attracting more and more.
Adam Karlsson: Last piece on the Sellpy side, I mean, the big effect and the onetime effect in this quarter is the effect we get from the revaluation of Sellpy as a stand-alone company, they are now on a breakeven level, which is also unique within this space. And I think here, they have clearly benefited from being closed and part of our ecosystem within an H&M Group, where we can support, of course, with logistics capacity and so forth to support the expansion. So there are positive effects that hopefully will support them also going forward being part of the sort of overall H&M Group ecosystem here.
Anne Critchlow: Great. Thank you.
Operator: The next question comes from Nick Coulter from Citigroup. Nick, please go ahead. Your line is open.
Nick Coulter: Good morning. Thank you for taking my questions. Three if I may, please. Firstly, could you help us understand the quantum of the year-over-year gross margin decline that you've seen in the first quarter relative to the fourth quarter, please? I appreciate there are a large number of moving parts, but it's obviously a very big delta and be useful to understand the quantum of the buckets to understand the pathway back up. That's the first one. Thank you.
Adam Karlsson: Well, on the gross margin, I mean, there are so many different parts moving here. So I think it's almost impossible to put them in buckets and then extrapolate going forward. I mean doing a markdown quarter, we have the effect of selling higher share of sort of older relatively garments, and that is one effect. And then we have the hugely volatile currency. But I think the material effect that you can see in the quarter is what I mentioned with lower volumes, transport that we get already now some positive effects when it comes to logistic costs. And that's then, as I mentioned before, before we can see the big effects more midterm when it comes to how the current lower spot rates will sort of trickle down into our P&L.
Nick Coulter: So when you look at the fourth quarter gross margin versus the first quarter gross margin year-over-year move, is it fair to say that FX and freight and markdown are the things that are the most significant?
Adam Karlsson: And then all other external factors such as in prices and raw material prices and cotton and so forth. So that is also a fourth major component. And then there are other smaller ones, but I think those three plus one.
Nils Vinge: And also, as we stated, Nick, in the last we spoke, is that we had some year-end effects impacting negatively on the gross margin in Q4, which we don't have, obviously, in Q1.
Nick Coulter: Yes. No, understood, but we didn't get a quantum for those. Then I'd like to perhaps just on Russia, very helpful and thank you, given the Russia EBIT impact. Is it possible to get a sense of what a normalized gross margin might be or have been for the Russian business across timing? Is it a richer gross margin mix? Or how should we think about that again as we try and understand the pathway back up? Thank you.
Adam Karlsson: From a gross margin perspective, Russia didn't really differ dramatically from the other markets. So more on the OpEx side.
Nick Coulter: Great. Okay. Thank you very much. Then a quick one, if I may, just on the finance and lease charges. They looked a little bit heavier than expectations. Should we expect those levels to continue? Thank you.
Adam Karlsson: No. I mean here, we also have currency effects affecting the sort of the cost of the value of the leases here. So we see good progress in the dialogue with the landlords and the positive effects we've gotten from renegotiations in the past year will continue to positively affect throughout this year. So the majority of how this fluctuates short term is based on currency.
Nick Coulter: That's very helpful. Thank you very much.
Operator: The next question is from Sreedhar Mahamkali from UBS. Sreedhar, your line is open. Please go ahead.
Sreedhar Mahamkali: Yeah, hi. Good morning. Thanks for taking my questions. A couple of them then, please. Firstly, I think you've made a comment on higher share of nearshoring and more purchasing in season. How are you changing those? Where are we now? And perhaps a couple of years view, how do you see that evolve, both in terms of nearshoring and how you're changing the way you're purchasing? Secondly, in the release, you've talked about taking further steps in the beginning of the year, receiving 10% margin next year. Perhaps if you could elaborate on what those steps are, and that will be very helpful as well. Thank you.
Helena Helmersson: Thank you. Looking at nearshoring, we are, as we said in the last report, we are increasing that. So that is progressing well. And that's certain parts of the assortments where we see a great benefit to supply the fashion to the customers much faster. And that means that we're developing nearshoring and increasing that more both in Europe and in Asia also looking into other parts of the world. But that is progressing very well. And looking into steps towards 10% profitability, I would say, first of all, the focuses that we have and have had for a while that shows results. So we need to continue on those. And with that, I mean focusing on customer offer, customer experience and supply chain to also improve position to make sure that the right parts of the assortment has shorter response times, so we can give the right collections in the right quantities in the right time to our customers. So keep on working on our focuses that is clearly paying off right now is the first one. Secondly, it's about working on the cost and efficiency program, where we will see then effects from half year to this year. And then, of course, it's the external factors where we see it's going in the right direction.
Sreedhar Mahamkali: Thank you.
Operator: The next question is from Simen Aas from DNB. Simen, your line is open. Please go ahead.
Simen Aas: Yes. Good morning, guys. So I have two questions. So on Asia and Africa, you were flat in local currency growth. So could you just give us an update on how these markets are developing? And maybe an update on China? And then my second question is on price increases. So do you see any difference between your low and higher ticket items? And have you raised prices from Q4 to Q1? That's my question. Thank you.
Adam Karlsson: When it comes to the region Asia and Africa, it's a pretty scattered region. So big differences from market to market. And I don't want to point out any specific markets, but we have strong development in some markets and not as strong in others. That's all I can say. What was your second question, sorry?
Helena Helmersson: I believe it was in China. Did I get that right?
Simen Aas: Yes, yes. So in China, that's correct.
Helena Helmersson: Yes. So China, we're still not where we want to be and not big news from last time we met. We see it's definitely going in the right direction, but rather slowly, a very important market for us. So we still focus a lot on becoming even more relevant, really looking at the customers to have the right customer offer and customer experience. So yes, in the right direction, but still not where we want to be. And then you had a question on price increases. As we discussed also last quarter, and I believe I said it also on another question. We work very - in a very flexible way with prices, looking both at competitor prices also, of course, following the purchasing power and looking into product by product per market to see what the right price is for the different categories, everything to make sure that we are the ones offering the best value for money. We clearly see on different segments of the assortment that price is definitely not the only thing. That's why we have the strength in the business idea of combining fashion price, quality and sustainability. And moving forward, we do think that the key is to be that flexible outsourcings [ph] we are also gearing towards the profitability target already next year.
Simen Aas: Okay. That's very helpful. So you said the purchasing power. So what I'm looking for here is, do you raise prices higher? Or have you raised prices more for kind of more expensive items? Or have you managed to also raise prices in the lower parts of your assortment?
Adam Karlsson: We are clearly looking at the price elasticity and sort of how we both strategically position ourselves in key price points and where the customers should always feel confident that they can find the best value for money. But we also see, and I think part of it is what we see at COS that there is, if we have the right product and can create that value for money, a big potential to also sell higher price points throughout the group. So we work in both ends, very much securing the strategic prices, but also of course, seeing the positive tendencies and building on them primarily for the more high-end brands.
Simen Aas: Okay. That's very helpful. Thank you.
Operator: The next question is from Simon Irwin from Credit Suisse. Simon, your line is open. Please go ahead.
Simon Irwin: Hi. I hope you can hear me this time.
Adam Karlsson: Yes, we can.
Simon Irwin: Could you just talk a little bit more about Sellpy. You say in the report as a result of contractual changes without paying any additional purchases, your stake has gone up to 80%. Can you just talk about exactly what those contractual agreements were that resulted in you taking a much larger stake in the business?
Adam Karlsson: Well, the conditions to see Sellpy as a fully consolidated subsidiaries that we have sort of full control, so to say, or can be seen as having the control of the company. And here, we have done adjustments to the sort of shareholder agreement and how we sort of steer and appoint members to the Board. So there are more sort of those effects that has triggered the change from being an associate company to a fully sort of consolidated subsidiary.
Simon Irwin: What was your shareholding beforehand?
Adam Karlsson: It's same - it's the same. So it's been between 75% and 80%. So it's more how we then can, as H&M Group, sort of have influence throughout those - that shareholding.
Simon Irwin: All right, okay. Thank you very much indeed.
Operator: Next question is from Jose Rito from CaixaBank. Jose, your line is open. Please go ahead.
Jose Rito: Yes, hi. Good morning to all. Just a follow-up on the Sellpy. So you mentioned that you started to consolidate this business from Q1 onwards. My understanding is that this was not accounted in terms of sales and EBIT contribution. So from the 12% sales growth in March, how much was excluding Sellpy. And could you assume around 1% of point to sales growth? That will be my question.
Adam Karlsson: It adds about 0.5%.to the sales increase. I missed the line. I don't know if you heard me, but if I heard the question, but it is about 0.5%. Jose, are you there. Okay, we lost you.
Operator: We have a follow-up question from Daniel Schmidt from Danske Bank. Daniel, your line is open. Please go ahead.
Daniel Schmidt: Thank you. Just a follow-up on a topic that we've talked about before in terms of changing conditions a bit when it comes to online returns and possibly also delivery and minimum order value and so on. And Helena, you mentioned in the Q4 report that you are rolling this out in 10 to 15 more markets compared to the two that you tested during the autumn. Could you give us any update on that sort of what is happening and what's been the feedback? And where are you in that rollout?
Helena Helmersson: Sure. So we are rolling it out. The first step now is 10 to 15 more markets, and then we will continue. Let's see how many more markets we take in the second step. In this quarter, we have been focusing on tech development to be able to do that in this quarter. So we will see how that progresses and how customers will react, but we are moving on.
Daniel Schmidt: Thank you. That's all from me.
Helena Helmersson: Thank you.
Operator: [Operator Instructions]
Helena Helmersson: Thank you all very much for participating in the call, and we wish you all a very nice day.
Operator: This concludes today's call. Thank you very much for your attendance. You may now disconnect your lines.